Operator: Welcome to the Retail Opportunity Investments 2022 Fourth Quarter and Year-End Conference Call. Participants are currently in a listen-only mode. Following the Company’s prepared remarks, the call will be open up for questions. Now, I would like to introduce Laurie Sneve, the Company’s Chief Accounting Officer.
Laurie Sneve: Thank you. Before we begin, please note that certain matters which we will discuss on today's call are forward-looking statements within the meaning of federal securities laws. These forward-looking statements involve risks and other factors which can cause actual results to differ significantly from future results that are expressed or implied by such forward-looking statements. Participants should refer to the Company's filings with the SEC, including our most recent Annual Report on Form 10-K, to learn more about these risks and other factors. In addition, we will be discussing certain non-GAAP financial results on today's call. Reconciliation of these non-GAAP financial results to GAAP results can be found in the Company's quarterly supplemental, which is posted on our website. Now, I’ll turn the call over to Stuart Tanz, the Company’s Chief Executive Officer. Stuart?
Stuart Tanz: Thank you, Laurie, and good day, everyone. Here with Laurie and me today is Michael Haines, our Chief Financial Officer; and Rich Schoebel, our Chief Operating Officer. We are pleased to report that during 2022 through implementing our longstanding strategic property operations leasing and investment initiatives, we continue to enhance the long-term intrinsic value and competitive position of ROIC's portfolio and business. In the face of significant economic headwinds and uncertainty that continued throughout 2022, our grocery-anchored portfolio again proved with a time tested resiliency and value. In fact, capitalizing on the longstanding appeal and strength of our portfolio in West Coast markets, we had one of the best, most active years to date in terms of property operations and leasing, setting a new number of new records. We achieved a new record high portfolio lease rates surpassing 98% at year-end. Our record high lease rate was driven by the ongoing strong demand for space and our ability to capitalize on that demand. In step with achieving a record high lease rate, we also achieved a new record for the company in terms of our overall leasing activity. Additionally, we continue to achieve strong rent growth. In fact, 2022 represented our 10th year in a row of achieving rent growth on both new leases signed during the year, as well as renewals. With respect to new leases, 2022 was also our 10th consecutive year of achieving double-digit rent growth, and it is also our six-year where we achieved rent increases in excess of 20%. In short, 2022 proved to be a stellar year on the leasing front, again in the face of challenging and uncertain economic environment. While we work to enhance the underlying value of our existing portfolio through our leasing initiatives, we also continue to work on enhancing our leadership position and presence on the West Coast through our relationship-driven investment program. During 2022, we continue to capitalize on our off-market sources to gain unique access to acquire exceptional irreplaceable properties. In total, we acquired five excellent grocery-anchored shopping centers encompassing over a 0.5 million square feet of space in total. These new acquisitions fit our discipline risk-adverse strategy and our existing portfolio perfectly. They are well situated in our core markets, three being located in the Seattle market, one in Portland, and one in the San Francisco market. Within each of these markets, the properties are well established in the heart of affluent communities. All five shopping centers features strong grocery operators that are longstanding existing tenants of ours along with a broad range of necessity service and destination tenants, many of which are existing tenants of ours as well. While the new acquisitions provide a stable base of cash flow, they also offer a wealth of opportunities to increase cash flow and enhance the underlying value going forward. Within just a few short months of having acquired the properties, we have already leased the bulk of the available space. Looking ahead, there is an abundance of opportunities to re-lease below market space over the next several years. There is also a number of opportunities to reconfigure expiring space and attract new tenants at higher rents as well as potential expansion and powered opportunities. In summary, our 2022 acquisitions are an excellent strategic fit by all measures and enhance the value of our overall portfolio and presence on the West Coast. Additionally, our investment activities together with our leasing accomplishments served to generate solid financial results. I'll turn the call over now to Michael Haines, our CFO, to take you through those details. Mike?
Michael Haines: Thanks, Stuart. For the year ended 2022, total revenues increased by 10.1% over 2021. Operating income, excluding the gain on sale from property dispositions increased by 15.6% over 2021. With respect to property level net operating income on the same-center comparative cash basis, NOI for the year 2022 increased by 4.6% over 2021, including a 5% increase in the fourth quarter. Turning to GAAP net income. For the full-year 2022, GAAP net income attributable with common shareholders was $0.42 per diluted share as compared to GAAP net income of $0.44 per diluted share for 2021. Included in 2021, GAAP net income was $22.3 million gain on sale of real estate as compared to a $7.7 million gain in 2022. In terms of funds from operations, total FFO for the year 2022 increased by 13.6% over 2021. On a per share basis, FFO was a $1.10 per diluted share for 2022, representing a 10% increase over 2021, and for the fourth quarter of 2022, FFO increased by 8% to $0.27 per diluted share. Turning to our financing activities. During 2022, we raised $61.4 million of capital, including $36.2 million from a property disposition and $25.2 million that we raised through our ATM program, issuing approximately 1.3 million common shares. With respect to our debt profile, we continue to reduce secured debt. During 2022, we retired two mortgages totaling $23.5 million. Today, we only have two mortgage loans remaining on our balance sheet, meaning 91 out of our total 93 shopping centers are unencumbered and secured debt is now down to a new record low of just 4.3% of our total debt outstanding at year-end. In addition to lowering our secured debt, during 2022, we continue to work at enhancing the company's financial ratios, including the company's net debt ratio. You may recall that back during the height of the pandemic in 2022, the company's net debt annualized EBITDA ratio had reached 7.9x, which we successfully lowered down to 7x by the fourth quarter of 2021. During 2022, we successfully lowered the ratio further down into the mid-6s, ending the year with the net debt ratio of 6.6x for the fourth quarter of 2022, which is low as our fourth quarter net debt ratio has been since 2016. Looking ahead, in terms of our initial guidance for 2023, on the positive side, we expect same-center NOI to grow in 2% to 5% range for 2023 with a good portion of that growth being driven simply by contractual rent increases. However, we expect that property level growth will be offset by higher interest costs. Based on the forecasted yield curve of 2023, we currently expect that the company's interest expense will be in the $68 million to $73 million range for 2023, depending in part upon our investment activities during the year. And with respect to the company's investment activities, the low-end of our initial guidance assumes that we acquire $100 million while selling $200 million of properties, and effectively utilizing the sale proceeds to fund acquisitions and pay down debt, which if the year plays out that way, we expect that our net debt ratio would drop down to the low-6s. The high end of our guidance assumes that we acquire $200 million while selling $50 million of properties, and that we finance the acquisitions with the combination of sell proceeds, debt and equity, the goal being to maintain our net debt ratio in the mid-6s. Taking these another various assumptions into consideration, we have set our initial FFO guidance range for 2023 at a $1.05 to $1.11 per diluted share. Additionally, in terms of rental revenue recognition, you may recall that back during the pandemic, we did not move any tenants to being on a cash basis. As a result, as it relates to 2023, there's no additional or incremental rental revenue in our guidance coming from reinstating cash basis tenants. Lastly, with respect to the bonds that mature at the end of 2023, we are currently exploring variety of refinancing strategies. However, it's too early to say definitively what strategy we will pursue as it will depend in part on the market conditions as we move through the year. Our guidance assumes that we refinance the bonds in the fourth quarter. In addition, our goals to lower our floating rate debt exposure by reducing a portion of return loan if market conditions permitting. Now I'll turn the call over to Rich Schoebel, our COO. Rich?
Richard Schoebel: Thanks, Mike. As Stuart highlighted, 2022 proved to be one of the best, most active years on record for the company in terms of leasing. One of the core drivers of our success is the fact that more and more necessity service and destination tenants continue to gravitate towards open air shopping centers, especially grocery-anchored centers, and especially those properties that are located in desirable, highly protected markets such as ours on the West Coast. At the start of 2022, our portfolio lease rates stood at a very strong 97.5%. Taking full advantage of the ongoing demand for space, we steadily increased our portfolio lease rate as we move through the year reaching a new all-time record high of 98.1% at year-end. Along we are being very pleased to achieve a new record high lease rate, we are also equally gratified that we have maintained our portfolio lease rate above 96% for 10 consecutive years now, even surpassing our leasing accomplishments, dating back to our time at Pan Pacific. Breaking the 98.1% down between anchor and non-anchor space, our anchor space remained at 100% leased throughout 2022. In fact, we have maintained our anchor space at 100% leased every quarter for the past six years now. In terms of non-anchor space, we increased our shop space lease rate steadily as we progressed through 2022, ending the year at a new record high of 96%. Our record high lease rate was driven by our record leasing activity. Back at the beginning of the year, we had 745,000 square feet scheduled to expire during all of 2022. Thanks to our team working aggressively and creatively and maneuvering and optimizing existing tenant spaces to free up new space along with proactively recapturing space and renewing space early. We leased a record 1.6 million square feet of space during 2022, representing the 12th consecutive year where we once again leased approximately double the amount of space originally scheduled to expire. While leasing a record amount of space, we also continue to achieve solid rent growth, our 10th consecutive year in fact, as Stuart highlighted. Specifically, during 2022, we achieved a strong 23% increase in same-space, comparative cash base rents on new leases, and we achieved an 8% increase in cash base rents on renewals. In addition to our record leasing activity, 2022 also proved to be our most active successful year in terms of getting new tenants open and operating. During 2022, new tenants representing $9.5 million of incremental annual base rent on a cash basis open and commenced paying rent, again, a new record. Taking into account all of our new leasing activity during 2022 at the start of 2023, the amount of annual incremental base rent from new tenants that haven't yet opened and commenced paying rent stood at $7.6 million. We are working proactively to get these tenants open and expect that the bulk will do so as we move through the new year. And speaking of the new year, demand for space continues to be strong across our portfolio, such that we expect to have another solid year. In terms of our portfolio lease rate, we expect to maintain our overall lease rate in the 97% to 98% range as we move through the year. In terms of lease rollover, specifically anchor expiration, a year-ago at the outset of 2022, we had 25 anchor leases scheduled to expire in 2023, totaling 723,000 square feet. During this past year, we renewed and released early, very early in fact, 12 of the 25 anchor leases such at the start of 2023, we had just 13 anchor leases scheduled to expire, totaling 393,000 square feet, and we have already renewed six of these anchor leases, including five that were not scheduled to expire until the second half of 2023, and we are close to finalizing four other anchor renewals. Lastly, in terms of non-anchor space, at the start of 2023, we had 466,000 square feet of shop space scheduled to expire. Similar to our anchor releasing activity, we are already hard at work and having good success at renewing and releasing shop tenants. Now I will turn the call back over to Stuart.
Stuart Tanz: Thanks, Rich. As our operating and leasing results firmly indicate our grocery-anchored portfolio continues to perform at a strong level, we expect that to continue in 2023. Being consistently above 96% leased every year for the past 10 years and leasing 2x the amount of space scheduled to expire year-after-year, speaks not only to the strength and appeal of our portfolio, it also speaks to our hands-on approach. Additionally, it serves to create an important fundamental favorable leasing dynamic for us. Being essentially fully leased with consistent demand for space year-after-year means that we are able to be disciplined and selective in terms of the tenants we lease to, always with an a strong eye towards managing downside risk and making sure that we maintain a strong and stable base of necessity service and destination tenants, which is the cornerstone of our business as we'd like to say. Over the years, this risk-adverse strategy has proven to be instrumental in our ability to generate a revenue stream that is consistent and reliable year-after-year. In terms of the prospects of growing our portfolio in 2023, while the acquisition market has been essentially idle since mid-2022, we've continued to maintain an active dialogue with our off-market sources, some of which here recently have been increasingly proactive in reaching out to us, which we view as a positive sign. Additionally, we are beginning to hear from brokers that both buyers and sellers are interested in starting to possibly enter the market again, which we also view as a positive sign. That said, until there's greater clarity in terms of pricing and greater clarity in terms of interest rates and the capital markets, we intend to continue being patient and cautious. With respect to the potential acquisition and disposition activity in our guidance, we are assuming it takes place during the second half of 2023. Finally, as we head into a year that is expected to again be challenging in terms of economic pressure and uncertainty, we believe that we are well positioned to face the challenges. Our team has successfully operated grocery-anchored shopping centers on the West Coast for nearly 30 years now through all kinds of challenges. We believe that we have the skillset and experience to continue operating our portfolio at a high level. Additionally, based on our experience over the years, challenging times often create unique opportunities, which we believe we are well positioned to capitalize on. Most important, we intend to stay focused and true to our longstanding disciplined business plan that has and always will be focused on carefully building long-term value. Now, we will open up the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Wes Golladay of R.W. Baird. Your line is open.
Wesley Golladay: Hey. Good morning, everyone.
Stuart Tanz: Good morning, Wes.
Wesley Golladay: Hey, Stuart. I just want to go back to the floating rate, it's about 27% of the debt right now. I think it's a big area of concern for investors. Just curious, you have time – particular time you want to address that. Can you take advantage of the inverted yield curve? You did mention about paying down secured debt, but could you do secured debt and would there be any prepayment penalty on the term loan?
Michael Haines: Hey, Wes. This is Mike. With regard to the floating rate exposure, we'd like to refinance the bulk of that as we move through the year and possibly we pay down some of it utilizing a mix of fixed rate debt, sale proceeds, and possibly some equity depending on market conditions, but be conservative our guidance assumes that the floating rate debt remains outstanding.
Stuart Tanz: No pre-payment on the term loan?
Michael Haines: That’s pre-payable at any time, but…
Stuart Tanz: And yes, there are other options to secure debt or other alternatives that we are looking at as well.
Wesley Golladay: And I guess, where could you borrow at? They call it like a five-year, seven-year term. Is that the timeframe you'd be looking at? Would you go 10-year? What's on the menu here?
Michael Haines: I think all of those are basically available Wes. You know, the 5s are probably a little bit less expensive than the 10s, but you're probably looking at the high-5s, low-6s, for a five, seven or 10-year deal.
Wesley Golladay: Okay, fantastic. And then, Stuart, I think you mentioned that acquisitions would be back half loaded. Just curious that comment is also for dispositions and do you expect to have a positive spread between your asset recycling? Is there any non-income producing assets in part of that disposition plan?
Stuart Tanz: Yes. I mean, non-income producing assets would be some of the densification. The land that we've entitled, we are moving that to the market over the next several weeks. We waited. We thought it'd be patient to wait for this time where there's more clarity in the market. And in terms of acquisitions and dispositions, yes, we are planning to move through the year with an emphasis on the second half of the year where there will be more clarity in terms of pricing. But more importantly, we intend to be buying accretively to our cost of capital.
Wesley Golladay: Got it. And then just one last one, I think you have a bad debt reserve that's about a 1 million higher versus how you started last year. Is this just a general macro concern or do you have any known bankruptcies at this moment?
Richard Schoebel: Our bad debt reserve to be a conservative, we generally budget bad debt each year at about 1.5% of total revenue. But that said, historically, our actual bad debt has been typically below 1% of each year at the low end of our guidance is at $5 million. All of our bad debt guidance is assuming, taken into account all of our tenant base.
Stuart Tanz: At the current time, Rich, we don't really have anyone on our watch list, just so you know.
Wesley Golladay: All right. Fantastic. Thanks everyone.
Stuart Tanz: Yes.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Craig Schmidt of Bank of America. Your line is open.
Lizzy Doykan: Hi, good morning.
Stuart Tanz: Good morning, Craig.
Lizzy Doykan: Good morning. This is Lizzy Doykan on for Craig this morning. I just wanted to ask about the moving pieces to your same-store NOI guide. It just seems like a wider range of 2% to 5%. And if you could just talk about the moving pieces there really in terms of occupancy, contractual rent bumps, spreads, and impact from bad debt. Just want to see what might be swinging that to the lower end versus the higher end? Thanks.
Stuart Tanz: Well, I've got some prepared remarks to walk you through. So if you start with our fourth quarter 2022 FFO $0.27 a share and you analyze that, it's a $1.08. So the loan of our guidance assumes that we sell a $100 million of properties more than we acquire in 2023. So the dilutive impact of that together with our assumptions of higher interest costs, higher G&A and higher bad debt, offset partially by 2% NOI growth for 2023 is reflective in the $1.05 at the low end of the range. The $1.11 at the high end takes into account acquiring $150 million more properties than we sell, plus 5% NOI growth. So it's kind of a range there together with bad debt and G&A staying comparable to 2022, while being partially offset by added interest expense. So it's different components, primarily a range of internal growth and adjusted for interest expense, G&A and bad debt.
Lizzy Doykan: Okay. Got it. Thanks for that detail. And then on the occupancy front, just with the – you're continuing to see new record highs, you're at 98.1%. I believe you mentioned seeing a continued range within 97%, 98% this year. Just curious on where the upside is and if this is really – you see the opportunity more so on the small shop side versus anchors, where is the room for growth here? Thank you.
Richard Schoebel: Sure. This is Rich. We still see a lot of opportunities throughout the portfolio, whether it's shop space or anchor space. There's still several leases that are way below market that we continue to work to recapture and release at the current market rent. So we still see good rental spreads going forward while maintaining that occupancy.
Lizzy Doykan: Okay. Thanks. And if I could ask one more. Just going back to acquisitions with that being more back weighted, it looks like you assume a fairly steady amount from the prior couple years. Is this based on visibility you have on current opportunities or are there anything kind of – any opportunities you have more visibility on based on your discussions?
Stuart Tanz: Yes. The pipeline is certainly building and it is based on a number of discussions we've had over the last several months with owners on the West Coast. So you look at the guidance out there, we are anticipating, again building the acquisition pipeline as we get through this quarter and next. But we anticipate that a number of these transactions will typically close and we'll get the benefit of that NOI in the second half of the year.
Lizzy Doykan: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Juan Sanabria of BMO. Your line is open.
Stuart Tanz: Good morning, Juan.
Juan Sanabria: Good morning. Just hoping you can speak a little bit about how bullish you are given the record leasing you've had and seemingly is continuing into 2023, I maybe holding back space and pushing rate a little bit more and be willing to let retention slip just to try to capture some of that mark-to-market, or are you not really just because the macro's uncertain and you just really want to keep things steady and avoid any potential pitfalls?
Stuart Tanz: Yes. I mean, look the market is very strong in terms of tenant demand, and I think I said in my remarks that the focus here is to take advantage of this high occupancy as it relates to getting a bit more aggressive with the tenant base. That's the advantage of being so well leased. So the answer is yes. We will get more aggressive that may generate a touch more vacancy through the portfolio. But on the other hand, we're expecting lease or spreads, as you might say, to be as good or better given this high occupancy as we move through 2023.
Juan Sanabria: And maybe a question for Rich. Could you provide any color on the cadence of economic occupancy or build occupancy, should we expect to dip seasonally in the first quarter? And maybe any comments on where expect to end the year from an economic or build perspective?
Richard Schoebel: Sure. I mean, I don't think that we're expecting a dip in the beginning part of the year. I think that we are expecting to steadily be bringing in this income throughout the year. There are a few large leases that are commencing in the first quarter. But as we always do every year, we're doing other leasing in the meantime. So while we'll be bringing that online, we'll also be adding to the number.
Juan Sanabria: Okay. And maybe just one last one for me. In terms of the entitlements, how should we be thinking about the various opportunities and what you're looking to monetize and what that could represent at the large disposition range? And anything you're looking to keep on balance sheet, the Crossroads perhaps?
Richard Schoebel: Well, Crossroads is still moving through the permitting process, and that's taken longer because of the municipality more than anything else. So there's not much capital spend this year at the Crossroads, as it relates to densification or that particular project. The other two [indiscernible] fully entitled, and again we have a pretty good offer on it right now, but we are taking it to the market shortly, and that will hopefully sell and close in second or third quarter of the year. And Nevada is right behind that. Both those properties will account for about $20 million, $25 million in proceeds. And we're expecting to have both of those transactions done in 2023, which we'll use that cash obviously to pay down debt on the balance sheet.
Juan Sanabria: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Craig Mailman of Citi. Your line is open.
Stuart Tanz: Good morning, Craig.
Craig Mailman: Good morning. Just want to go back, Mike, to your comments on the variable rate debt. I understand you guys are going to pay it down, but going forward, should we expect kind of your variable rate exposure to be really kind of subject just to the line balance? Are you guys going to move away from using this in kind of shifting more towards fixed rate?
Michael Haines: Yes. I think we're going to definitely move more towards fixed rate. I ideally like to turmoil that out – not turmoil, but fixed rate primarily through public bond offerings as we move through the year. The turmoil itself is floating, but it doesn't mature for a couple years, so we've got some time the market to evolve and settle down until we get more favorable pricing. But we allowed it to go floating for flexibility. But the idea is we prefer to have mostly fixed rate debt.
Craig Mailman: Okay. And if you guys decide not to pay off the term loan, just given the uncertainty in the rate market. Would you guys look to put a swap on or cap or something just to lock it in?
Michael Haines: Potentially a swap. I mean, the rates have already moved up and the swaps have moved up accordingly. So it just depends on the market conditions.
Craig Mailman: Okay. Well, Stuart, moving back to your commentary on the acquisition market. I mean, what's driving do you think the move for sellers to kind of come back in the market? Is it debt expiration driven or something else? 
Stuart Tanz: It's primarily debt expirations, as well as the fact that capital is constrained out there for these sellers. And we still have some OP transactions that we had pretty well in the bag last year that we're still in contact with. So I think we may see some of that as we move through the year as well, which would be good from a balance sheet perspective. But all-in-all, it's really being driven through the dynamics of the overall capital markets as well as the financing side or the debt side, as you would say.
Craig Mailman: And from a required return perspective, kind of where are you thinking about your hurdles just given where your cost of capital is, where the debt market has moved to versus maybe where you're having conversations today? Like, is there a recognition that the new hurdle rates are the norm, or kind of what's the resistance to that from sellers?
Stuart Tanz: Well, I mean, there's no real norm to speak of at this point because there's really been no benchmark – formal benchmark that's been set on the West Coast for high quality grocery-anchored centers. Have cap rates moved up? Yes. But there's been nothing that has really shown us that there's been a material move in valuations. So as we look forward in terms of growing the company, we're much more focused on buying assets probably in the high-5s, low-6s, that's more importantly accretive, not so much on day one, but pretty quickly given our management team's ability to really drive value through an increase in either vacancy or rollover as you might say, that's really how we're going to continue to deliver as we have in the past, a nice punch to NOI in growing the company this year. And again, as you probably know, we've been out doing this for a long, long time, so we've got a pretty good view of the market as to how we're going to create that value in terms of what we're buying or what's in the pipeline.
Craig Mailman: And what does that five to six kind of translate to on an unlevered IRR perspective, just given kind of what's happening on the rent market, how you guys are underwriting that, et cetera?
Stuart Tanz: On an unlevered basis, our goal within 18 months of acquiring these assets is the mid-6s or the high-6s. Tough to tell you where that entry point is, but that's our criteria, and that's the goal that we set on every transaction that we do.
Craig Mailman: And just one more for me. On the leasing side, you guys are very far along on the anchor side of things, but maybe as it pertain to just like the grocery side, just given what's happening with inflation and consumer preferences. As you guys look to push rents on those, kind of what does that equate to on an occupancy cost for those grocers? And how much room do you think you have to push rents in this environment given what's happening on their expense side?
Richard Schoebel: Well, I mean, again, this is Rich. A lot of these grocery leases are fairly old and below market. Several of them are coming up with no options remaining, which is creating opportunities for us throughout the portfolio where we may have one lease with a grocer that's expiring with no options, and they're asking to reset that lease. And then we look at the entirety of the portfolio and are able to drive rents, get people to take down options early or get additional rent at other locations. So we continue to see good opportunities to continue capturing that rent. And some of these anchored leases are expiring at single-digit annual rent numbers. So there's a lot of room there.
Craig Mailman: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Todd Thomas of KeyBanc. Your line is open.
Stuart Tanz: Hey, Todd.
Richard Schoebel: Good morning, Todd.
Todd Thomas: Hi, good morning. I just wanted to circle back to the dispositions real quick here. Stuart, I appreciate the added color around the land sales that you're looking to monetize. For the retail centers that you may sell or are you targeting non-core assets that are maybe a little bit higher yielding within the portfolio or are they lower cap rate deals that might help a little bit more with the debt reduction efforts on sort of a maybe non-dilutive basis. As I look at the variable rate debt that's at a cost of above 5.5% today, likely heading a little bit higher, can you sell assets at a lower cap rate than that?
Stuart Tanz: Yes. You can sell assets at a lower cap rate, and we are looking at assets that primarily have very little internal growth over the next several years. As you obviously know Todd, a lot of the portfolios is 100% occupied. But the good news is the most sought after segment of the sector is grocery-anchored shopping centers. So we feel pretty good in terms of moving these assets. And again, it will be really generated on the profile of the asset in its internal growth.
Todd Thomas: Okay. And so are dispositions going to be used to match fund acquisitions I mean or is it sort of separate, right, where the dispositions that you might look to execute throughout the year are independent of acquisition activity that you may or may not really see materialized later in the year?
Stuart Tanz: Yes. I mean, it's a combination of paying debt down and funding growth. It will be a combination of both depending on how much we sell and the velocity of selling those assets.
Todd Thomas: Okay. But you're moving forward with disposition plans again, independent of acquisitions, I mean there are assets that you're looking to monetize throughout the year, whether or not any acquisition opportunity surface that meet your return requirements. Is that right?
Stuart Tanz: That is correct.
Todd Thomas: Okay. And then also just with regards to assets that you might look to sell, are there certain markets where you might want to reduce exposure where some of those sales might be targeted?
Stuart Tanz: No, not really. We're looking at all of the markets we're in, and again, we're looking at the whole portfolio. You may get more in one market than the other, but the reality is that all of our markets are performing extremely well. So we're in a good place in terms of picking and choosing which assets, but primarily focused on the fact that these assets won't deliver a better return than most of the – rest of the portfolio over the next several years.
Todd Thomas: Okay. All right. That's helpful. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Michael Mueller of JPMorgan. Again, Michael Mueller of JPMorgan, your line is open.
Michael Mueller: Yes. Hi.
Stuart Tanz: Good morning, Mike.
Michael Mueller: Hey. Good morning. Two quick ones. So what does guidance assume for physical occupancy at year-end compared to [indiscernible] where you ended 2022? And then I guess just following up on the acquisition and disposition questions that you've had so far. Would you issue equity at these levels? If the deal flow was there and maybe dispositions didn't materialize?
Stuart Tanz: Well, I mean, I'll answer the equity question. I'll let Rich answer the first part of the question. But no, we're not issuing equity in terms of where our stock is trading. At the present time, Rich, do you want to answer?
Richard Schoebel: Well, I mean, you're asking about build occupancy at the end of the year, or physical?
Michael Mueller: Yes, build.
Richard Schoebel: I don't think we have that number in front of us here. I mean, we would expect that it would be in the same range. As you know, it has been historically, hopefully a touch higher.
Stuart Tanz: Yes. Let's just say if all $7.6 million came in, I think the majority of it supposed to start by the end of September. But that'll be replaced by the leasing activity. So incremental, it should inch higher. But it's always being replaced by new opportunities to re-lease.
Michael Mueller: Okay. Thank you.
Stuart Tanz: Thanks, Mike.
Operator: Thank you. [Operator Instructions] I'm showing no further questions at this time. I'd like to turn the call back over to Stuart Tanz for any closing remarks.
Stuart Tanz: In closing, thanks to all of you for joining us today. As always, we appreciate your interest in ROIC. If you have any additional questions, please contact Laurie, Mike, Rich and myself directly. Also, you can find additional information in the company's quarterly supplemental package, which is posted on our website as well as our 10-K. Thanks again, and have a great day everyone.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.